Operator: Good afternoon, and welcome to the Dave & Buster's Entertainment, Incorporated Fourth Quarter and Fiscal Year End 2022 Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Cory Hatton, Vice President of Investor Relations and Treasurer. Please go ahead.
Cory Hatton: Thank you, operator, and welcome to everyone on the line. Leading today's call will be Chris Morris, our Chief Executive Officer; and Mike Quartieri, our Chief Financial Officer. After our prepared remarks, we will be happy to take your questions. This call is being recorded on behalf of Dave & Buster's Entertainment, Incorporated and is copyrighted. Before we begin the discussion on our company's fourth quarter and fiscal year-end 2022 results, I'd like to call your attention to the fact that in our remarks and our responses to questions, certain items may be discussed, which are not entirely based on historical fact. Any of these items should be considered forward-looking statements relating to future events within the meaning of the Private Securities Litigation Reform Act of 1995. All such forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ from those anticipated. Information on the various risk factors and uncertainties have been published in our filings with the SEC, which are available on our website. In addition, our remarks today will include references to financial measures that are not defined under generally accepted accounting principles. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP measure contained in our earnings announcement released this afternoon, which is also available on our website. Also, pro forma financials, including Main Event for the trailing 4 quarters ended January 29, 2023, are available at the bottom of the Events and Presentations section of our IR website. Now it is my pleasure to turn the call over to Chris.
Chris Morris: Thank you, Cory. Good afternoon, everyone, and thank you for joining our call today. We are pleased to report another strong quarter of financial results to mark our fiscal year-end driven by strong comparable walk-in sales growth and the tailwind of our Special Events business continuing its recovery toward pre-pandemic norms. As a testament to the strength as well as the confidence we have in our future growth initiatives, our Board authorized a share repurchase program of $100 million. Fresh off the heels of our Annual General Managers Conference, our exceptional operators and support center employees are motivated and energized to deliver on our goals we've set for the business in 2023 and beyond to realize our full potential. We look forward to sharing our progress with you throughout the course of the year as we continue to drive value creation for our stakeholders. On our last call, we discussed our three current focus areas, one, effectively managing the merger integration, two, managing sales and profitability in the near term to offset the ongoing inflationary pressure in our business, and three, long-term strategic planning. I'm pleased to report we have made meaningful progress in all three areas. Starting with our merger integration. Our team has continued their exceptional work on this important focus area. We have now implemented all the initiatives necessary to achieve $25 million of annualized cost synergies, exceeding our original target by $5 million. We are extremely pleased that we were able to achieve these synergies and do so ahead of schedule. Next, our teams have continued to work on mitigating inflationary pressures with thoughtful pricing and increased operating efficiencies. We rolled out the first phase of this work, which enabled us to expand store operating margins to 30% in the fourth quarter, a 50-basis point improvement versus the prior year and a 230-basis point improvement versus 2019, despite the current inflationary environment. We are now on to the next phase of work focused on elevating the guest experience through removing complexity in our operations, primarily back of house and bringing greater focus to peak management. A significant portion of our sales in a given week are generated during busy weekend hours. It's paramount we have the right people, in the right place, at the right time during these peak hours to consistently deliver the guest experience and optimize the revenue opportunity during peak. We have worked closely with our operating team to develop the right staffing model, reporting tools and management approach to maximize throughput during peak time. In addition, we are in the process of developing in-shift reporting and server scorecards to provide our operators with real-time information to make real-time adjustments and in-the-moment coaching as needed throughout a shift. These tools are just the beginning of the changes we will be making over the long run to unlock a new hospitality model for our business. Our commitment to the guest experience and unwavering focus on supporting our operators will be one of our greatest competitive advantages as we grow this business into the future. In addition to the work on cost controls and operational execution, we are very pleased with the top line momentum throughout our portfolio. As indicated by our fourth quarter results, driven by strong walk-in growth and Special Events trending to pre-pandemic levels, guests continue to visit and spend at healthy rates. Our fourth quarter marketing calendar included our fall football program featuring Super Bowl winning Titan Travis Kelce, highlighting the second to none sports watch experience at Dave & Busters in a modern and relevant way during the most viewed sports season in America. In November, we returned to a guest favored Eat & Play Combo. This offer scores high on value, uniqueness and visit intent, especially with our core guests. This is followed with localized World Cup programming in key select markets. We are creating further awareness of our watch product offering with our current spring basketball campaign that tipped off with the NCAA basketball tournament and will extend well into the NBA playoffs. To amp-up the value and appeal, this week we launched the $29.99 Slam Dunk deal, a $20 Power Card and choice of entrée from our watch menu. In addition to above store media, we are more aggressively leveraging D&B Rewards and our growing loyalty database of 4.5 million members to efficiently communicate with our guests across all occasions. We are building out our data and digital innovation capabilities to drive relevancy, media efficiency and tech-enabled hospitality with the Dave & Buster's brand. Focusing on Special Events, we are encouraged by the continued momentum of our Special Events business, which initially lagged a rebound of walk-in business coming out of the pandemic. In preparation for spring graduation season, we have made significant improvements to our Dave & Buster's website, which is already making a difference in Special Events lead generation revenue since launch. This coupled with executing structural changes in our Special Event sales teams is yielding advanced bookings for the Q1 period that are ahead of 2019. All of this gives us confidence that this business will continue to grow above and beyond pre-pandemic levels. Finally, we then focused on finalizing our long-term strategic plan that will further cement our company as the undeniable leader in location-based entertainment and drive meaningful shareholder value. Our strategic review and ongoing consumer research has reinforced our belief that there is significant upside in this business through an improved focus in several key areas. Now why we allocate time to execute in these long-term initiatives with a strict focus on ROI, we will never lose sight of maintaining operational efficiencies in the near-term. Today, I'll walk you through some of the key elements of our plan. Then on May 16, we will host our virtual Investor Day, where we will provide you with more detail around our plan and give you an opportunity to hear directly from the rest of our senior management team. Our long-term plan includes 5 key strategic points, first, drive brand relevancy. With 90% brand awareness, the Dave & Buster's brand is well known and held in high regard by the consumer. However, as the category has grown and evolved, the D&B brand needs to be focused more than ever on articulating its relevancy. Second, reimagine the guest experience. We know that we are only as good as the experiences we create in our stores all over the country. We intend to revolutionize the way we deliver on the guest experience through developing and implementing relevant guest-facing technology to enable a one-of-a-kind guest experience. Third, bleed-through innovation. Our founders, Dave Corriveau and Buster Corley created this business 40 years ago with the spirit of innovation and the desire to do things differently. Today, we operate in a growing robust category with consumers having many different dining and entertainment choices. We will continue to lead in this category through building a culture of innovation, not only in entertainment, but throughout all areas of the business. Fourth, [free image] [ph] assets through strategic remodels. It's been several years since we last updated our brand image through the design of our facilities. Over the next several years, we intend to remodel our fleet to better position our brand for long-term sustainable growth. Our remodel program will involve more than just a new image. In addition to a fresh new look on the outside and inside of our stores, our plan is to make certain adjustments for improved operational execution, guest engagement and hospitality and an expanded entertainment product offering. Keep in mind, these are just plans at this stage. As we move forward, we will follow a test-and-learn model to ensure we are maximizing return on capital opportunity through this program. Fifth, global expansion of our footprint. We will continue to grow the business, anchored in strategic planning and operational execution and successfully develop the Dave & Buster's brand and Main Event brands in new heights domestically and globally. Our team has already made meaningful progress on all five of these points and is laser focused on continuing this progress in 2023. We look forward to sharing more details with you during our virtual Investor Day on May 16. So in closing, we are extremely excited about the future of this organization. We have two industry-leading brands in Dave & Buster's and Main Event. These brands have exceptional business models, strong assets and are led by a talented and passionate group of operators. We have a clear line of sight on the strategic opportunities ahead for this business and a world-class management team with a proven track record of superior execution. We continue to believe there is tremendous upside potential for this company and our stakeholders, and we are working diligently to realize that potential. So with that, let me turn the call over to Mike for a review of our fourth quarter and fiscal year results. Mike?
Mike Quartieri: Thanks, Chris. We're pleased with the financial results for the fourth quarter. We generated record revenue of $564 million and produced a record $138 million of adjusted EBITDA in the fourth quarter. Aligning with guidance provided by the SEC, you will notice in our release that we changed our definition of adjusted EBITDA. We generally believe adjusted EBITDA should reflect the normalized earnings power of the business. As a result, in addition to certain one-time nonrecurring and noncash items, our definition of adjusted EBITDA historically excluded preopening expenses because preopening expenses were not associated with the earnings of the existing base of stores. While we still believe exclusion of preopening expenses from adjusted EBITDA reflects the true normalized earnings power of the existing base of stores, for certain regulatory reasons, we will no longer be adding it back to adjusted EBITDA. Please note that we have added credit adjusted EBITDA to our disclosures along with the appropriate reconciliations to provide readers with the relevant measure for our compliance with our debt covenants. Credit adjusted EBITDA includes the add back of preopening expenses along with other items as defined in our credit agreement. Under our new definition, we produced a 24.5% adjusted EBITDA margin in the fourth quarter which represents an increase of 300 basis points above 2019. For comparability, under our prior definition, which included the add-back of preopening expenses, adjusted EBITDA margin would have been 25.2% for the quarter, a 280 basis points above 2019 levels. As Chris mentioned, we have successfully achieved our annual synergy target of $25 million from the combination with Main Event. While we completed this ahead of schedule, we remain laser-focused on driving operational excellence, continuous improvement and additional cost savings, all of which are ingrained in what we do every day at Dave & Buster's. With regards to pro forma comparable store sales figures, I'd like to direct you to our supplemental schedule titled March 2023 Supplemental Pro Forma Financial Data posted in the Events and Presentations section of our IR website. I'd like to highlight the strong comp sales figures in the fourth quarter of 19% comp versus 2021 and 14.1% comp versus 2019 on a consolidated basis. Our Special Event business continues its recovery toward pre-pandemic levels with pro forma combined comps down 6.4% this quarter versus 2019, with the expectation that this will move positive in 2023. Along with the recovery of our Special Events business, Food and Beverage represents an increasing mix of our total revenue, increasing to 36.1% of revenue in Q4 2022 versus 34.1% on a pro forma basis versus Q4 2021. We generated $143.5 million in operating cash flow during the fourth quarter, contributing to an ending cash balance of $182 million for total liquidity of over $672 million when combined with the $491 million available on our $500 million revolving credit facility. We ended the quarter with net total leverage ratio of 1.9x. We feel very comfortable deploying cash under our Board-approved $100 million share repurchase authorization with our current liquidity and leverage profile. Turning to capital spending, we invested a total of $70.2 million in capital additions and opened one new Main Event in Beaumont, Texas during the quarter. We plan to open four new stores during the first quarter of fiscal '23. To-date, we have opened one new Dave & Buster's-branded store in San Juan, Puerto Rico and two Main Event-branded stores, one in Little Rock, Arkansas and the other in Tucson, Arizona. And we'll be opening one additional Main Event location in Lexington, Kentucky later this week. We plan to open a total of 16 new stores during fiscal year '23, including 11 Dave & Buster's and 5 Main Event locations plus the relocation of our Dave & Buster's Vernon Hills store. For the full year of fiscal '22, we reported revenue of $2 billion, an increase of 50.6% from fiscal year '21 and an increase of 45% from fiscal year '19. We reported net income of $137.1 million or $2.79 per diluted share in fiscal '22. That compares with net income of $108.6 million or $2.21 per diluted share in fiscal '21 and net income of $100.3 million or $2.94 per diluted share in fiscal '19. We generated adjusted EBITDA of $480 million, an increase of 39.8% from '22 and an increase of 66.1% from 2019. Finally, let me provide a brief comment on our Q1 performance to-date. Overall, operating performance this quarter remained strong. As you know, Q1 is up against the strong omicron recovery that occurred in Q1 of '22. Quarter-to-date, our comp store sales are roughly flat to down very low single digits relative to the same period last year, which is still up nicely versus the pre-pandemic period. To summarize, we are extremely excited about the strong execution in our business, our progress-capturing synergies, the numerous growth opportunities for us to pursue and the talent and experience of our team to drive growth despite the challenging macroeconomic environment. We remain focused on closely managing costs and capital spending to ensure we strategically unlock the maximum value of these two great brands and deliver the highest possible returns for shareholders. Now operator, please open up the line for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Andy Barish from Jefferies. Please go ahead.
Andy Barish: Hey, good afternoon, guys. Can you give us a little sense just how the fourth quarter unfolded? Obviously, starting out November will be up 3% with some calendar shift. And then, just some color in terms of where you saw upside versus your expectations and the strength kind of continuing into the spring here?
Mike Quartieri: Yes, Andy. So to start with, as you noted, November seemed to be a little lighter than what we were expected. December played out as we were expecting, given the calendar shift. And that was some of the commentary we made on the prior call, when you looked at the number of days leading up on the Special Event business prior to the Christmas holiday. Having the Christmas holiday on the Saturday and Sunday, provided a bit of a headwind, I would say on a comparability perspective for December. But we knew all of that would come through in early January as we turned the calendar given the timing of the holiday winter break for students. So from that perspective, we saw great results in January. February continued that momentum. And we've been pretty much relatively flat to this very low single-digit number that we've seen on the quarter-to-date basis through the end of last week.
Chris Morris: And then, the only thing, I'll just add a couple of comments to that, Andy, by the way. So as Mike mentioned, when we started the quarter, we communicated to the Street that there is a mismatch in weeks relative to the timing of Special Events. And so the one thing I'd point out is that the fourth quarter played out with respect to that shift, the fourth quarter played out exactly the way we anticipated. And so at the time of the call, we had a lot of confidence in our business. We saw a lot of momentum and even though the beginning of the quarter started off slow, we could tell that it was due to those calendar shifts. And that momentum, when you look through that shift, there was pretty steady momentum throughout the entire quarter. And things did kind of pick up a little bit towards the end of the quarter. Where we sit today, it's a very similar story. There's just a lot of noise in our numbers as we're starting this quarter just with time in the spring breaks and lapping of omicron, the return coming out of omicron last year, and there's just a lot of noise in the numbers early into Q1. But looking through all of that noise, we still have just tremendous confidence in this business. We're excited about the momentum that we've created. We feel very good about where we're going in our long-term strategies, and we feel great about things.
Andy Barish: Thanks for the color, Chris. And one quick follow-up just on the unit opening cadence [indiscernible] to start the year is fantastic. How should we think about the other 12 that are too open for the rest of the year?
Mike Quartieri: Yes. I think when you think about it, 6 in the first half of the year, 10 in the back half with 4 being in Q1. We'll have 2 planned store openings in Q2 and then the remaining 10 stores will be equally split between Q3 and Q4 at 5 apiece, included in Q4, we'll also have the relocation of the Vernon Hills store.
Operator: Our next question comes from Jeff Farmer from Gordon Haskett. Please go ahead.
Jeff Farmer: Thank you, and good afternoon. So just a little bit of a follow-up on some of Andy's conversation, but flat to down low single digits quarter-to-date same-store sales. Sort of given where the comparisons are for the balance of the quarter, you called out some other noise. What ultimately does that mean for Q1 same-store sales? So just to give you a little bit of context, Street's looking for a low 2% comp. Is that in play based on what you guys have already seen and understanding what the comparisons are for the balance of the quarter?
Chris Morris: Well, I'll take that. This is Chris. As you know, we don't provide quarterly comp store sales guidance. But here's what I can tell you is, there's tremendous momentum in this business where we continue to be very pleased with what we see in our trends. We've looked at our sales figures to try to understand if there's anything more than just timing of spring breaks and lapping a difficult comparison. We're not seeing anything that would suggest that there's a significant change in the fundamentals of this business. And so our best guess is where things are going to play out is, we think that when we get through this tough comparison that the business is going to continue to perform nicely in the near-term and over the long-term. But at this point in time, it's just really hard to get a beat on it just because the sales numbers are so choppy with the tough comparisons and the shift in spring breaks. And so there's just a little bit of uncertainty around exactly what that baseline is going to be. But based on everything that we know and everything that we see, we still feel very good.
Jeff Farmer: Okay. And the follow-up is mid-May Virtual Investor Day. So what investors are looking for? You gave us the unit development guidance for '23. It doesn't sound like there's anything beyond that, that you're offering today. But when we get to this mid-May Investor Day, should investors be expecting to get a little bit more fulsome level or degree of sort of either short-term or longer-term guidance across unit same-store sales margin structure, et cetera?
Mike Quartieri: Yes. Our approach is to provide reasonable guardrails for what we're going to call a near-term, long-term kind of view of the company. What we really want to be accomplishing with Investor Day is to really lay out the strategy and how we view the company on a longer-term basis. And we realize that I know you guys all have models, you all are desperately looking for a specific data point, but the reality of it is we have a great business that has some near-term opportunities in front of us that we are executing against. And we feel like there's tremendous opportunity on the upside on a mid- to longer-term basis and that's what we want to be able to highlight for you guys.
Operator: Our next question comes from Chris O'Cull from Stifel. Please go ahead.
Chris O'Cull: Hi. Good afternoon, guys. Just as a follow-up, Mike or Chris, can you help us understand how traffic has trended in the quarter-to-date period as you kind of lap the more normalized comparisons or maybe at least give us what the check or pricing has been for this period?
Mike Quartieri: Sure. So look, we've always kind of given the overall perspective of the company. We haven't gotten into the details of traffic versus price. We see overall strength in the business, and it's relative against the omicron comp. Things are moving in tandem. So it's not that we're seeing a dramatic drop-off in traffic, say, like at the lower end consumer. We're just not seeing that at this point in time. So from our perspective, the business is performing and call it, weekly noise that we see is sporadic and relatively, I'm going to say, consistent in that, it's across the board and not tied to any one specific component of the business itself.
Chris O'Cull: Okay. And then I had a question about development. I know you guys are clearly accelerating unit development here. So can you walk us through the unit economics or how they've changed today relative to maybe 2019? And what I'd like to understand is, what are you targeting for average unit volumes, margin and maybe investment costs today versus what the company was doing in 2019, 2018, something like that?
Mike Quartieri: Yes, I think that type of color will be something that we'll cover at Investor Day. But when we do look at just the overall business itself on the landscape around development, we don't see any diminishment in the return profile that we have today versus what we had in '19 or what we had 10 years prior to that. What I'll call inflationary concerns you would have from a construction perspective, are more than offset by the inflationary pricing that you've been able to build into the market.
Operator: Our next question comes from Andrew Strelzik from BMO. Please go ahead.
Andrew Strelzik: Hey, good afternoon. Maybe I'll just round out some of the near-term sales questions here. I'm curious if you could parse out, are you seeing any change in spend levels either on reloads or in F&B that may be or if you're not seeing that, maybe that contributes to maybe some of your -- confidence and can you just comment on that would be great.
Mike Quartieri: Yes. I'll start and then I'll let Chris chime in if he wants to add anything else. The one thing we are seeing and highlighted this before, is as Special Events become a bigger component of the business and we are seeing that return back to 2019 levels. That piece of business skews higher to the Food and Beverage side of the business than it does to the Amusement. So we are seeing an uptick in Food and Beverage as a percentage of the overall revenues. As you know that Food and Beverage revenue does have a slightly lower gross margin than Amusement. So just the pure mix shift will put a little bit of pressure on the overall margin on a status quo basis. But given the operational team that we have in place and the things that Tony are doing, we're more than offsetting that impact in our numbers.
Andrew Strelzik: Got it. Okay. That's helpful. Thank you. And then, maybe a bigger picture, longer-term one. You talked about some of the operational improvements that you're implementing in this next phase, potentially unlocking this new hospitality model, which is I guess, you said more like a longer-term opportunity. Can you just describe just how you envision that playing out? I mean what is the hospitality model in your mind look like over time, what are you trying to achieve?
Chris Morris: Yes. Sure, Andrew. I'd be happy to do that. What I'll do is I'll give you just a general sense, I'll give you more color on how we're thinking about it. But certainly, on May 16, during the Investor Day, this is an area where we'll spend some considerable time on. And so you'll be able to -- I'll touch it again on May 16, you'll hear directly from our Chief Operating Officer, and you'll hear from our Chief Information Officer. But essentially, we have very large assets, so 30,000 to 40,000 square feet, in some cases, 50,000 square feet, and we do a considerable amount of volume in a very short period of time. And so when you think about the hospitality model, I think in our business, we have to think about it certainly differently than what a restaurant would have to. And so we've really challenged ourselves how do we make sure that we create an environment where we're able to manage guest flow, all that traffic through our center and all of our different venues as efficiently as possible and in a way where we're catering to the guest needs every step of the way. And so we intend to work closely with our operators and with our head of technology on developing proprietary tools to be able to stay engaged with the guest throughout the entire guest journey. And so again, we'll walk you through this in a lot more details. This is work that we were already starting on the Main Event side that we've carried over into Dave & Busters. But it's that intersection of the human service model and the technology model where we're maniacally focused on enabling the hospitality experience. And so we think that there's just tremendous upside as we develop this. And we're able to stay more engaged with the guests throughout every step of that journey, then that gives us the advantage of being able to collect a tremendous amount of data on those particular guests to be able to tailorize our service approach just to meet their specific needs. So it will help us on managing throughput that will help us on growing average guest check. It will help us on building more engagement with our guests, which should lead to more loyalty, more frequency and an overall better, enhanced experience. So we have an entire plan that's kind of staged year-by-year on how all this is going to unfold.
Operator: [Operator Instructions]. Our next question comes from Brian Vaccaro from Raymond James. Please go ahead.
Brian Vaccaro: Hi. Thanks and good evening. Just a quick clarification on the quarter-to-date. It sounds like qualitatively; you don't believe you've seen a change in behavior or that the underlying is relatively stable. Correct me if I heard that incorrectly. But does that mean that your comps versus '19 were similar in February and March at each brand?
Mike Quartieri: The overall trend in the business that we saw versus '19 continues and if there was anything, I would say, of note, of any 1 of the 2 brands, dramatically underperforming or overperforming that was driving the overall results, we would specifically call that out to you guys.
Brian Vaccaro: Okay. And then you mentioned spring break shifts. In your view, how do those shifts impact sales in March and April, does that help March and hurt April or maybe it's the other way around?
Chris Morris: Yes, I can take that. So a couple of things. So I mentioned that it's really tough to get a beat on sales right now. And it's a combination of the timing of calendar mismatches as well as lapping the return to business coming out of omicron last year. And so as a result, it's just created a lot of volatilities in the numbers week to week. There are certain spring breaks that are different all over the country. And so there are some markets where April is going to benefit, and March was negative. And so once we get through that period of time, we're going to have a much better feel for what the underlying trend is in the business. So it's just a little choppy right now. It's tough to get a read on it. And that's the disadvantage of looking at our business over a very short period of time. And so we'd like to keep our focus more on the longer-term aspect. We've just pulled together two very strong quarters. We feel very good about our performance. We still feel very good about the underlying trends in the business. We think coming out of this period of mismatch that we're going to continue to grow the business, but time will tell. We'll be in a better position in our Investor Day on May 16 because we'll be over that period of mismatch. And if there's something that's material that we should be reporting, then we can use that as an opportunity to update you. But our plan as of right now, we believe that the business is going to work its way through this mismatch and we're going to get back to growing the business the way that we have been. We take a lot of comfort that we continue to do really well against 2019. And so we think that's still a measure of health of this business. And so that gives us confidence as well.
Mike Quartieri: Plus, I'll just add to the upside. As we continue to see our Special Event business drive, that just provides more fuel for, I would say, any type of protection if there's a downturn from a walk-in perspective, and it just provides further fuel, if there's not, for the business to expand even further.
Operator: Our next question comes from Jake Bartlett from Truist Securities. Please go ahead.
Jake Bartlett: Great. Thanks for taking my questions. Unfortunately, I'm going to start with another one about the first quarter trends and I apologize for that. But I think one thing that investors are looking at is April of last year was very strong. I think it was 21% comp. I think February was flat. March was up 12%. So it looks like April is difficult. So we kind of wonder where it goes from here, that typical compare. My question is, is the marketing plan similar? So I think April was really boosted by the Eat & Play coming back by kind of peaking the peak with advertising. Now you have the Slam Dunk meal. Should we think about what you have planned for April and what you did last year is similar so that we shouldn't see kind of -- it's not as difficult a compare to speak as one might think otherwise?
Chris Morris: Yes, I think that's very fair. The structure of the deal is essentially the same structure. So Eat & Play Combo, as I said in my prepared remarks, and if you've been following the company for a long period of time, you already know this, Eat & Play Combo is that steady Eddie value-driven promotion that has worked well for the brand over time when used correctly. What we've learned, not only in our own research, but going back and looking at how it's performed over the years is that, that message can -- there's a certain amount of fatigue that comes when the company uses that message over and over again. And so the message of Eat & Play Combo is better served whenever we believe it's better served when we do it once a year. But we still wanted to take advantage of the structure of that combining food and entertainment for a great value. And so what you're seeing us do this quarter is just simply introduce that with a fresh seasonal-driven message. And at the same time, leveraging the strength of the basketball season and continue to build awareness around all the great assets that we have on the watch side of our business, which we know, again, from all of our research that there's a big opportunity to build more awareness around that side of the business. But the structure of the deal is essentially the same. When we looked at the results last quarter, when we looked at the results in April last year of Eat & Play Combo, we actually don't see that big of a difference between how it performed in April versus how it performed in November. The business overall did much better in April, but that was also a period of time when we were coming out of omicron, there was a lot of pent-up demand, and we believe that, that really fueled our business. And so we don't think the promotion was as big of a driver last year. But we're keeping an eye on it week-to-week, and we always have the ability to pivot, if necessary. But as of right now, that's our plan. We feel good about it. And again, we'll know more next time we give you an update.
Jake Bartlett: Great. That's helpful. And I wanted to switch to some questions on margins. You talked about inflationary pressures. Could you just tell us how much was food inflation, Food and Beverage inflation? How much was labor inflation in '22? And then, what are your expectations for '23?
Mike Quartieri: Yes. I'll take that one. So when you're looking at the -- I'm going to start with labor inflation. We are seeing some relief there. I think when you look at the hourly wages quarter sequential, they've stayed relatively flat. So we feel that we've got that stabilized. And same with the commodities, we've actually seen a nice decline. So when you're looking at, call it, quarter sequential inflation, we went from about 17% versus 21% in Q2, 17% came down to 9% in Q3. And in Q4, we saw that come down to roughly 4%. So the work that the procurement team has done in combination with this as well as the synergies that we were able to achieve, we've been able to get commodity inflation down. The biggest component of the commodity inflation that we've seen relief on is really around proteins, which is really, call it, both chicken breast and chicken wings.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Chris Morris, Chief Executive Officer for any closing remarks.
Chris Morris: All right. Thank you, operator. In closing, we would like to again commend our team for the exceptional results they continue to produce at our stores across the country and for all the hard work that was done at our Dallas support center to integrate the Main Event business and optimize the infrastructure to support the bright future of these two phenomenal brands. Thank you all for joining. We look forward to keeping you apprised of our continued progress on growth initiatives and revealing the more details about our long-term strategic plan at our Investor Day in May. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.